Andrzej Matyczynski: Thank you for joining Reading International's earnings call to discuss our 2019 fourth quarter and full year results. We'll also be addressing the unprecedented COVID-19, or coronavirus, situation that is currently affecting everyone, including Reading. 
 My name is Andrzej Matyczynski. I'm Reading's Executive Vice President of Global Operations. As always, with me are Ellen Cotter, our President and Chief Executive Officer; and Gilbert Avanes, our Executive Vice President, Chief Financial Officer and Treasurer. 
 Before we begin the substance of the call, I'll start by stating that in accordance with the safe harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that will be addressed in this earnings call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings. We undertake no obligation to publicly update or revise any forward-looking statements. 
 In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP financial measures, which are segment operating income, EBITDA and adjusted EBITDA, are included in our recently issued 2019 fourth quarter and year-end earnings release on the company's website. We have adjusted where applicable the EBITDA items we believe to be external to our business and not reflective of our cost of doing business or results of operation. Such costs include gains on insurance recoveries; legal expenses relating to extraordinary litigation; adjustments for gains, losses relating to property sales; and any other items that can be considered nonrecurring in accordance with the 2-year SEC requirement for determining an item is nonrecurring, infrequent or unusual in nature. We believe adjusted EBITDA is an important supplemental measure of our performance. 
 In today's call, we'll also use an industry-accepted financial measure called theater level cash flow, TLCF, which is theater level cash flow -- theater level revenue less direct theater level expenses; and property level cash flow, PLCF, which is property level revenue less direct property level expenses. Please note that our comments are necessarily summary in nature, and anything we say is qualified by the more detailed disclosure set forth in our Form 10-K. 
 So with that behind us, I'll turn it over to Ellen, who will review the results for the fourth quarter and the full year 2019 and discuss further Reading's precautions and strategies in navigating the uncharted waters of COVID-19. And then Gilbert will provide a more detailed financial review. 
 Ellen? 
Ellen Cotter: Thanks, Andrzej. First and foremost, let's address COVID-19 and its wide-ranging impacts on Reading and our industry. Between March 16, 2020 and March 17, we took the unprecedented step of temporarily closing until further notice every Reading-owned cinema in the United States in compliance with the directions, regulations and recommendations of the federal, state and local authorities. This has been an amazingly short period of time to go from full operations to all cinemas being closed in the U.S. for Reading. 
 Prior to this, from March 12 to March 16, 2020, as we publicly disclosed to all of our guests, we adjusted our operations in our U.S. cinemas by implementing new and enhanced procedures to reduce seat occupancy to create social distancing and increase the frequency and extent of our cleaning and sanitization practices throughout our cinemas. On March 16, 2020, we then further reduced our cinema seating configurations to no more than 50 seats per auditorium. 
 With respect to our Australian and New Zealand cinemas, as of today, the majority of cinemas in those countries, including all of our cinemas, are still operating while taking into account guidelines from the governmental authorities. For instance, in addition to the elevated levels of cleaning and sanitization at our cinemas today, our Australian and New Zealand cinemas are selling no more than 99 seats per auditorium to encourage social distancing. We are monitoring this evolving situation and making sure that we prioritize the health and well-being of our customers. We will temporarily close our cinemas if directed or recommended by the governmental authorities in Australia and New Zealand. 
 Between March 16, 2020 and March 17, 2020, the producers of the shows at our live theaters in New York City and Chicago postponed performances. 
 With respect to our real estate centers at Newmarket Village outside of Brisbane, Cannon Park in Townsville in Queensland, Auburn Redyard outside of Sydney and the Belmont Common outside of Perth, we are currently open for business. At the moment, substantially all of our retail tenants are also open for business. Most of Courtenay Central in Wellington, New Zealand remains closed due to the previously disclosed seismic issues. However, 2 of our tenants fronting onto the main street of Courtney Place continue to operate. But of course, this too could change. 
 It's very disheartening that our U.S. cinemas, that have proudly entertained communities continuously for decades, in a matter of days, have had to completely shut down due to COVID-19. The shutdowns have halted the revenue stream generated by our U.S. cinemas. Based on lessons learned from other countries impacted by COVID-19, we expect that the closure could last a few months, but we'll be constantly monitoring and updating our analysis. 
 Let me go through some of the steps we've taken with respect to our U.S. cinemas in the last few days. We've begun to take an aggressive look at each operating expense to find areas to lessen the impact of our U.S. cinema closures. We greatly appreciate the men and women who proudly serve our cinema guests every day in the U.S. Because of the need to immediately reduce costs, we are exploring furlough options consistent with applicable notice requirements. As I will touch on shortly, we believe this operational stoppage, while severe to our bottom line, will be temporary. We're mindful that we maintain some staffing structure that will allow us to quickly ramp up once we are permitted to reopen. 
 Regarding our occupancy cost, we have notified each of our landlords of our closures at the direction or recommendation of federal, state or local authorities. We will be requesting assistance through abatement on our occupancy cost during this period. However, obviously, no assurances can be given in this regard. We will also evaluate how to deal with the deferral of our real estate taxes. Each existing operating expense, such as utilities, cleaning and maintenance contracts, will be addressed to either be stopped or be significantly curtailed to the extent safely possible. 
 The question of insurance has come up. We're pursuing every angle to determine whether business interruption or other coverage is available to us. No assurances can be given that we will be successful in any insurance claim. However, we believe the insurance company should support our industry that's in dire need of assistance. 
 In terms of governmental assistance, our industry lobbying group is seeking aid in the U.S. to support the cinema business and its 150,000 employees. We strongly believe that the government should prioritize assistance to an industry that, for over 100 years, has provided generations an affordable way to share stories on the big screen that engage, entertain, educate and inspire. We all need that shared and communal experience now more than ever. 
 We've communicated with each of our lenders about this unprecedented situation. We'll be continuing discussions with them over this period of uncertainty and beyond. 
 With respect to Australia and New Zealand, we will take a wait-and-see approach while, at the same time, being proactive through our enhanced cleaning and social distancing measures. We're desperately hoping that the COVID-19 situation in Australia and New Zealand does not rise to the levels likely to be experienced in the U.S. or in other impacted areas. If our theaters are forced to close, like our U.S. cinemas, we will take many of the same steps regarding cost and expense reduction and seeking of assistance. 
 In terms of our real estate operations, we have leases or licenses in place at our portfolio of shopping centers. We have about 80 third-party tenants in our centers in Australia. There can be no assurances that we will be able to maintain the same level of rents we enjoyed prior to COVID-19. If, for example, COVID-19 spread occurs in Australia and New Zealand, our tenants may be required to close or reduce operations, and as landlord, we will likely be asked to reduce or abate rent. Again, the world has changed in a matter of days. 
 In order to navigate the current environment, we anticipate an overall reduction in our capital spending plans. We will be managing our liquidity and expenses on a daily basis, and where we can, we will be halting nonessential capital spending. Certain development projects have leases in place and based on lease obligations are currently under construction pre COVID-19. 
 In Australia, we have 3 cinemas under construction. Assuming there are no construction delays, including our landlord's ability to complete their base building or other mandated construction delays, at the moment, we currently intend to meet our commitments on these projects as much of the funding costs have already been spent. We expect to open a 6-screen, all-recliner cinema at Millers Junction in the suburb of Altona in Victoria during the second half of 2020. We expect to open 5 screens of our cinema in Traralgon in Victoria during the second half of 2020. The current schedule for our 6-screen, all-recliner cinema in Jindalee in Queensland is that handover to us occurs by the end of 2020 with an opening in early 2021. 
 In the U.S., our consolidated theater at the Kahala Mall on Oahu is currently closed for a top-to-bottom renovation. We anticipated a relaunch during Q2 2020. I believe that our schedule will be impacted by the COVID-19 crisis. Besides completing this project in Hawaii, in the short term, we will not be commencing any new renovation projects until we've got greater clarity on the impacts of COVID-19 on our company. 
 With respect to our real estate development projects, we have significantly reduced the scope and anticipated cost of the upgrades for Cannon Park in Townsville, Queensland. Our reduction in scope is in line with the needs of our tenants. With respect to Auburn Redyard and Newmarket Village, we are curtailing any future capital spending outside of our current lease commitments to tenants. 
 One of the greatest strengths of our company is our strong real estate asset base. We're a diversified company with, we believe, resources and assets that can provide us with financial security, if necessary, to carry us through challenging times. We have various levers at our disposal, which could include monetizing certain real estate assets, if necessary. Obviously, these are unprecedented times, and no assurances can be given that any particular transaction or transactions can be accomplished. However, we're committed to getting Reading through this extraordinary time and will consider all options to be on the table to accomplish this result. 
 We believe our U.S. cinema closures is a temporary operational shortage -- stoppage, excuse me. In 1905, 2 entrepreneurs opened a $0.05 admission storefront theater in Pittsburgh dedicated exclusively to exhibiting movies, naming it The Nickelodeon and laying the foundation for the movie theater business. Over 100 years later, I still believe there's nothing quite like the communal, shared experience of a wonderful movie that engages, entertains and inspires. We truly look forward to the day when we can reopen our U.S. cinemas and welcome everyone back to reengage with the magic that our cinemas offer. 
 After this temporary closure, we believe there'll be pent-up audience demand for that communal movie experience, an experience that continues to be one of the most affordable entertainment options available. We believe that this demand will be magnified and intensified due to the major studios who have moved back release dates -- moved back the release dates of their most anticipated films. 
 Now let me go through some of the highlights of the fourth quarter and full year 2019. At $276.8 million, our 2019 consolidated revenues decreased by 10% compared to 2018. Recall that at $308.9 million in 2018, our consolidated revenue set an all-time record high. At $68.9 million, our consolidated revenues for the fourth quarter 2019 decreased 8% from the prior year's quarter, which again had set an all-time record high for any fourth quarter. 
 Operating income for the full year ended December 31, 2019, was $28.5 million compared to $45.3 million for the prior year. Operating income for the fourth quarter ended December 31, 2019, was $6.8 million compared to $9.7 million for the fourth quarter of 2018. 
 EBITDA for the full year ended December 31, 2019, was $33.1 million compared to $46.4 million for the prior year. And EBITDA for the fourth quarter ended December 31, 2019, was $8.1 million compared to $13.4 million for the fourth quarter ended December 31, 2018. 
 The drivers for these decreases were an overall weaker slate of film in 2019 compared to 2018, particularly impacting our U.S. cinemas; the lease expirations of our Paris Theatre and Beekman Theatre in New York City; and the expiration of the underlying lease at the East 86th Street Cinemas in Manhattan that we managed; the continuing temporary closure of our cinema and most of the third-party tenants at Courtenay Central in Wellington, New Zealand due to the previously disclosed seismic concerns that were discovered in early 2019; and finally, a 7% decline in the Australian dollar and a 4.9% decline in the New Zealand dollar compared to the U.S. dollar for the year ended December 31, 2019. As of December 31, 2019, 37% of our consolidated revenues were generated in Australia, and 8% of our total revenues were generated in New Zealand. So the foreign exchange impact for Reading was significant. 
 Let's go into some of the detail about our 2 business segments. Turning first to our global cinema business. The record-setting results of 2018 presented a very tough comparable year for us. Overall, our 2019 consolidated cinema revenues decreased by 11% to $262.2 million compared to 2018. Our cinema segment operating income decreased by 40% to $23.3 million. 
 Let me go into market detail, starting with the United States. The U.S. industry box office for the fourth quarter and the full year 2019 decreased by 2.4% and 4.9%, respectively. Due to a 14% attendance decline in 2019, our U.S. cinema revenue decreased 9% to $147.7 million, which ultimately resulted in a 64% decrease in our U.S. cinema operating income for the year. With approximately 42% of our U.S. cinema circuit relying heavily on art and specialty film product, our U.S. admission revenue for the fourth quarter and the full year 2019 decreased by 6% and 13%, respectively. This impact on the specialty film market was felt across the industry by theaters that rely heavily on film from specialty distributors, such as Searchlight Pictures, Focus Features and Sony Pictures Classics, Neon and A24. 
 As previously -- as mentioned previously, our U.S. results were further impacted by the expiration of leases underlying 3 historically profitable venues in New York City. Even with the lower attendance in the U.S., our increased F&B per caps for the fourth quarter of 2019 resulted in F&B revenue of $11.5 million, matching our results for the fourth quarter of 2018. Our strategic focus on F&B continued across our U.S. circuit and helped deliver another record F&B spend per patron, or SPP, of $5.58, which not only represents the highest for any fourth quarter at Reading but also outperformed the SPPs of the U.S. divisions of top publicly traded exhibitors. 
 Our strategic capital investments also helped offset these results. We completed our top-to-bottom renovation at our Consolidated Theatre in Mililani on Oahu, Hawaii, and launched a full upgraded F&B menu including the sale of beer, wine and spirits. The theater now features recliner seating in all 14 auditoriums, a TITAN LUXE screen and a lobby redesign. The fourth quarter 2019 marked the second full operational quarter of the F&B upgrade at that theater. 
 Turning to Australia. Total cinema revenue for the fourth quarter of 2019 decreased by 9% to $22.2 million, and cinema revenue decreased by 8% to $93.5 million for the full year 2019. On a functional currency basis, at AUD 20.6 -- AUD 20.6 million and at AUD 86.6 million, our Australian circuit achieved its second highest year ever in box office revenues in 2019. Our operating income in our Australian cinemas decreased by 34% for the fourth quarter 2019 and 25% for the full year 2019. Note that our revenues and operating income were further impacted by the 7% decline in the Australian dollar. 
 Our Australia F&B revenue for the fourth quarter 2019 decreased 7% when compared to the fourth quarter in 2018. For the full year 2019, the F&B revenue decreased by 10%. Although F&B revenue has been impacted by the decline in attendance, we've been able to offset that decline through our F&B initiatives and set SPP records in functional currency. The fourth quarter set a record for the highest quarterly SPP ever at $5.18 and the highest SPP in the company history for the full year at $4.91. 
 Throughout 2019, we continue to upgrade and expand our Australian cinema circuit. At West Lakes in South Australia, we converted 2 screens to TITAN LUXE and added a Gold Lounge screen, each with recliner seating. In Harbour Town in Queensland, we converted 2 screens to TITAN LUXE with recliner seating. This Reading Cinema also features 4 Gold Lounge auditoriums, upgraded F&B and a lounge and bar area for all of our guests. At Rhodes in New South Wales, we converted 2 screens to TITAN LUXE, which features recliner seating throughout, and we acquired a license for the sale of alcohol. 
 In January of 2019, we acquired our first cinema in Tasmania, a well-established 4-screen cinema with a liquor license in Devonport, Australia. In December 2019, we acquired our second cinema in Tasmania, the iconic 10-screen State Cinema in Hobart. On December 6, 2019, we opened our 6-screen Reading Cinema in the Burwood Brickworks project, which offers a TITAN LUXE, elevated F&B offerings and a full recliner seating offering in all auditoriums. 
 Turning now to New Zealand. Our fourth quarter 2019 cinema revenue declined by 26% to $5 million versus the fourth quarter in 2018. The full year 2019 New Zealand cinema revenues declined by 30% to $21 million, with admission revenues declining by 32%. Our fourth quarter and full year 2019 cinema operating income decreased by 36% and 46%, respectively. Our cinema revenue was adversely impacted by the temporary but ongoing closures since January of 2019 of our Reading Cinema at Courtenay Central in Wellington due to the previously disclosed seismic concerns. During the fourth quarter, we continued to work on our redevelopment plans for our Reading Cinema at Courtenay Central, which I'll touch on in a few minutes. Our results were also impacted by the weakening of the New Zealand dollar against the U.S. dollar, down 4.9% for the year ended December 31, 2019, when compared to 2018. 
  Again, reflecting the strength of our global operating initiatives, we're pleased to report that at $4.53, our fourth quarter 2019 SPP on a functional currency basis in New Zealand represented the highest SPP for any fourth quarter and the second highest quarter ever. On a functional currency basis, the full year 2019 SPP of $4.51 was the highest in company history. 
 Now turning to our global real estate business. At $21.9 million, our 2019 real estate revenue decreased by 10%. And at $5.1 million, our 2019 real estate operating income decreased by 20%. Real estate revenue for the fourth quarter 2019 decreased by 11% to $5.4 million, while our real estate operating income decreased $1.2 million. The decrease in our overall results was primarily attributable to the ongoing closure of most of the net rentable area of Courtenay Central due to seismic concerns. This decrease was partially offset by an increase in rental and ancillary income in our live theater business unit. Also, measured in local currencies, these decreases were slightly lower as reported results were dampened further by the weakening of the Australian and New Zealand dollars compared to the U.S. dollar in 2019. 
 In 2019, we substantially completed construction of our 44 Union Square development project. As the first building topped by a glass dome in New York City and with a fabled past, our project has received a number of architectural awards and has been hailed by the New York City Landmark Preservation Commissioners as a gift to the city. One leading leasing agent in New York City recently said that 44 Union Square, formerly Tammany Hall, is one of the few leasing opportunities in New York City that offers potential tenants with a brandable site at a location well known to the entire city. We believe that the COVID-19 crisis, particularly on New York City, will impact the time frame for completing our leasing. At the moment, we cannot estimate a time for the completion of the leasing. However, the positive news is that the building is substantially completed and is ready to accept tenants for fit-out. We've begun to remove the sidewalk bridge on Union Square to be able to show off the front of the building. Reading flags will be waving next week. 
 Prior to COVID-19, the pace of the leasing meetings, both office and retail, had increased substantially. Earlier this year, the negotiations with a potential tenant for 90% of our building came to an end, which then allowed both the retail and office leasing teams greater flexibility to allocate space between the retail and office tenants. 
 We've extended our financing with the Bank of the Ozarks, $36 million drawn at December 31, 2019, through December 29, 2020, and have recently had conversations with the bank about how COVID-19 might impact our project. 
 Regarding the Cinema 1, 2 & 3, our current plan is to use the property as a cinema and not to incur material costs with respect to the development of the property until after we've completed the leasing and refinancing of 44 Union Square. The value of the location to us as a cinema site has been enhanced by the reduction of movie theater screens on the East Side of Manhattan. In order to enhance our flexibility as to the future development of this site, we are seeking a zoning change to allow the property to continue to include a Cinema Exhibition element.
 Turning to Australia. Our Australian real estate revenue for the full year 2019 and fourth quarter 2019 decreased by 3% and 1% to $15.7 million and $3.8 million, respectively. On a functional currency basis, our Australia property level cash flow remained relatively flat in the fourth quarter of 2019 compared to the same period in 2018. And the full year property level cash flow increased by almost 7% compared to 2018. Our real estate operating income increased by 9% and 39% for the full year 2019 and fourth quarter, respectively. With almost 80 tenants across our centers, including at Newmarket Village, Cannon Park, Auburn Redyard and Belmont Common, our Australian real estate division reported record revenues and operating income for the fourth quarter and year ended December 31, 2019, on a functional currency basis. 
 Turning to our assets in New Zealand. Our New Zealand real estate revenue for the full year and fourth quarter ended December 31, 2019, both decreased by 48% and 46%, respectively, when compared to the same period in 2018. Again, the temporary and ongoing closure of parts of Courtenay Central in Wellington continue to have a material impact on our New Zealand real estate portfolio. The decrease was exacerbated by the weakened New Zealand dollar. 
 Courtenay Central is composed -- or comprised of approximately 161,000 square feet of land across the street from the site of Wellington's newly announced convention center, which is estimated to open in 2022. In 2019, the company explored plans to re-create a vibrant gathering place for both Wellingtonians and tourists at Courtenay Central. Our current plans are focused on a complete upgrade of the Reading Cinemas coupled with a 100% NBS seismic upgrade of the venue and the retail reactivation of the ground floor having approximately 40,000 square feet of net rentable space. We are currently considering a variety of uses for the space, including retail, food, beverage and grocery components. During the fourth quarter of 2019, the Board of Directors of Reading provided direction to release preliminary funding to commence the design phase of the redevelopment project. Being mindful of the COVID-19 effect on our business, we will nevertheless endeavor to maintain the momentum of this important project. 
 Our property in Manukau/Wiri, approximately 64 acres, is primarily zoned for light industrial uses. The remaining 6.4 acres of this property were already zoned for heavy industrial uses. During 2019, our planning and legal team worked with the adjoining landowners to develop a plan to address the infrastructure requirements and applied for the planning approvals required for the portion of such works to be located upon our land and the consents required from various [ landholders ]. 
 The 64-acre parcel was acquired as an agriculturally zoned property and, as a result, is still carried on our books on essentially that valuation basis. For those of you who are not familiar with the property, it's located adjacent to the Auckland Airport in an area between the airport and the City of Auckland. We have not yet completed the works and funding agreement with neighboring landowners to provide the shared investment in the infrastructure works. We don't know whether COVID-19 will impact the pace of completing the infrastructure. Reading has not yet committed to any material investment in the infrastructure. 
 So before we turn over to your questions, I'll turn the call over to Gilbert for a financial review of the fourth quarter and the full year of 2019. 
Gilbert Avanes: Thank you, Ellen. The 2019 box office results were the outcome of weak film products worldwide when compared to the prior year period. Consolidated revenues for the fourth quarter of 2019 decreased by 8% to $68.9 million. For the full year 2019, revenue decreased by 10% to $276.8 million compared to the same period in 2018. As previously mentioned, this was primarily driven by softer film product in 2019 compared to a banner year in 2018. These combined factors resulted in a decrease in attendance in our U.S., Australian and New Zealand circuits. These results were further impacted by a 7% decline in Australian dollar and a 4.9% decline in New Zealand dollar for the full year 2019 over a comparable period in 2018. 
 As mentioned earlier, our cinema operating results were impacted by the lease expiration of Paris Theatre and the Beekman Theatre in New York City and the expiration of the underlying lease of 86th Street Cinema that we managed and temporary closed -- temporary closure of our cinema at Courtenay Central in Wellington, New Zealand, which historically was the top performer in New Zealand circuit. At the same time, the partial closure of the Courtenay Central property was one of the key drivers of the unfavorable results of our real estate segment in New Zealand. 
 Net income to RDI common stockholders decreased by $32.4 million to a loss of $27.5 million for the fourth quarter of 2019 compared to the same period in the prior year. Basic loss per share for the quarter ended December 31, 2019, was $1.25, a decrease of $1.46 from the prior year quarter. The full year 2019 net income to RDI common stockholders declined by $40.5 million to a loss of $26.4 million, primarily driven by a $25.5 million increase in income tax expense to $28.8 million mainly due to the recording of a valuation allowance on U.S. deferred tax asset in the fourth quarter of 2019. Basic loss per share declined by $1.78 to $1.17, from the same prior year period. 
 Net segment G&A expense for the fourth quarter of 2019 increased by 3% to $4.7 million compared to the same period in 2018. For the full year 2019, nonsegment G&A decreased by 11% to $18.9 million. This was primarily the result of lower legal expenses when compared to the same period last year. 
 Income tax expense for the quarter and full year increased by $29 million and $25.5 million, respectively, compared to the equivalent prior year period. The change between 2019 and '18 was mainly due to the recording of the valuation allowance on the U.S. deferred tax asset in the fourth quarter of 2019. 
 For the fourth quarter of 2019, our adjusted EBITDA decreased by $5.8 million to $8.3 million compared to the same prior year period. For the full year 2019, adjusted EBITDA was $34 million, representing a $16.3 million decline against 2018. These decreases are primarily due to lower net income in 2019. 
 Shifting to cash flow, for the full year 2019, net cash provided by operations decreased by $8 million to $24.6 million when compared to the prior year. This was primarily driven by a $14.3 million lower cash inflow from operating activities. 
 Cash used in investing activities decreased by $12.9 million to $51.9 million during the full year 2019 compared to the same period last year. $45.7 million of the $51.9 million of the cash used in investing activities was spent in capital expenditures, with $28.5 million of that comprised mainly of the 44 Union Square redevelopment; $14.6 million in Australia, comprised mainly of the purchase of Devonport, State Cinemas and the launch of Burwood; and $2.5 million in New Zealand, comprised mainly of the launch of the Hutt Pop-Up. 
 Cash provided by financing activities was $26 million during the 12 months ended December 31, 2019, and was mainly related to $90.5 million of new borrowings offset by $52.4 million of loan repayments. Proceeds from these new borrowings are related primarily for our 44 Union Square project in Manhattan and to fund the capital improvements in our cinemas and real estate segments as well as the acquisitions of Devonport and State Cinemas in Australia and our 2 new cinemas, Burwood and The Hutt in Australia and New Zealand, respectively. Loan proceeds of $38.1 million were offset by repurchase of stocks of $11.2 million, excluding the $3.5 million promissory note. 
 Turning now to our financial position. Our total assets increased to $675 million compared to $439.2 million at December 31, 2018. This large increase of $235.8 million was primarily driven by the implementation of the lease accounting standards effective January 1, 2019, which also resulted in a similar increase in our liabilities. Our financial position at the year-end was strong with $139.6 million in stockholders' equity supporting our assets. Additionally, with $12.1 million in cash on our balance sheet at December 31, 2019, we hold a strong liquidity position. 
 Of our total cash balance, $2.3 million and $2 million resided in our Australian and New Zealand subsidiaries, respectively. We used these amounts that we received from our cinemas and real estate businesses to pay down our long-term borrowings and realize savings from our lower interest expenses. We then settle our operating expenses generally with a lag within the traditional trade terms. This generates a working capital deficit, which is a positive for the company. We manage our cash, investment and capital structure so that we are able to meet short-term and long-term obligations for our businesses while maintaining financial flexibility and liquidity. As of December 31, 2019, there was approximately $73.9 million of additional capacity under our borrowing arrangements in the U.S., Australia and New Zealand, with $60 million of that $73.9 million being unrestricted capacity. 
 Our overall global operating strategy is to conduct businesses mostly on a self-funding basis, except where it is organizationally and economically justified for us to move funds between the jurisdictions where we do businesses. 
 With that, I will now turn it over to Andrzej. 
Andrzej Matyczynski: Thanks, Gilbert. First, I'd like to thank our stockholders for forwarding questions to our Investor Relations e-mail. As usual, we've compiled a set of questions and answers. We're presenting the most common questions and recurring themes e-mailed to us. 
Andrzej Matyczynski: Our first question. In light of the increased liquidity challenges facing the company from COVID-19 closures and long-term tenders loss combined with a very cheap RDI stock price, what real estate doesn't offer optimal returns to sell to monetize and buy back and retire shares even more aggressively? 
 I'll answer that question. On March 10, 2020, our Board of Directors authorized a $25 million increase for our stock repurchase program and extended the program until March 2, 2022. At the present time, we have approximately $26 million of that authorization remaining under this program. During the fourth quarter of 2019, we returned $3.2 million to stockholders through the repurchase of 302,038 shares of our Class A common stock at an average price per share of $10.56. For the full year ended December 31, 2019, we returned $14.5 million to stockholders through the repurchase of 1.2 million shares of our Class A common stock at an average price per share of $12.52. 
 The increased authorization under our stock repurchase program will allow Reading to repurchase its Class A nonvoting common stock from time to time in accordance with the requirements of the Securities and Exchange Commission on the open market, in block trades and in privately negotiated transactions depending on market conditions and other factors. All purchases are subject to the availability of shares at prices that are acceptable to Reading and our management's evaluation of the most prudent use of our cash resources at any given time. And accordingly, no assurances can be given as to the timing or number of shares that may ultimately be acquired pursuant to this authorization. 
 The Board's authorization is for a 2-year period, expiring March 2, 2022, or earlier should the full repurchase authorization be expended. The repurchase program does not obligate the company to acquire any specific number of shares and may be suspended or terminated at any time. Due to COVID-19, we have no current revenue from our closed U.S. cinemas. And as the continued operation of our Australia and New Zealand cinemas is uncertain, it is unlikely that we will be purchasing shares until our revenue situation has stabilized. While we may, if necessary, sell real estate assets, our focus would be on noncore assets. We do not anticipate selling assets to repurchase shares. 
 Our second question, given Regal's new subscription launch in our U.S. markets, do you believe you lost additional share given this plan? Or do you think the subscription impact has inflected? 
 Ellen, can you answer that? 
Ellen Cotter: Yes. Before the COVID-19 crisis, we were monitoring the impact of the Regal subscription plan on our business, particularly in Hawaii. We have always taken a view that pricing is a key decision to one's choice in where to see a movie. However, in Hawaii, we believe that the main driver impacting market conditions is the quality of the cinematic experience. For instance, relaunching our consolidated theater in Mililani that now features 14 recliner screens, the TITAN LUXE and an elevated F&B program has likely had a greater impact on the various theater market shares in Oahu rather than Regal's subscription plan. 
 We do not have a formal subscription plan at any of our U.S. cinemas today. If we were to launch one, the first market would likely be Hawaii, where we have 9 theaters and are a leading exhibitor. Again, any launch of a subscription plan would be done in an economically sustainable way. We have no plans for a subscription service in Australia or New Zealand. None of our competitors in those countries are currently offering such programs. 
Andrzej Matyczynski: Thanks, Ellen. Given Universal Studios' decision to shorten their window, how do you think about what this could mean for the business? 
 Ellen, can you take that as well? 
Ellen Cotter: Yes. We were disappointed by Universal's decision. However, we hope that Universal's unilateral decision was motivated by extraordinary times and a desire to offer the public, many of whom are sheltering in place or self-quarantined, the opportunity to continue to enjoy movies from Universal while enduring a very challenging time. We understand that most companies today are making changes and modifications to policies and ways of doing business to address this unprecedented event. Because our theaters and the major circuits in the U.S. have been forced to close due to COVID-19, a day and date release will not occur for many theaters since the theatrical exhibition will not be occurring. Once we reopen to the public, we intend to continue our policy to not simultaneously play movies on a day-on-day basis and will maintain our position to require a reasonable theatrical window. 
Andrzej Matyczynski: The next question. You have at least a full year of the overall upgraded Cal Oaks. How is it faring versus your internal expectations? What was the return on asset expected and being achieved? Can you discuss Reading's experience with its first U.S. foray deploying dine-in experience via your Spotlight or similar service? 
 Ellen? 
Ellen Cotter: As we've said before, we don't publicly disclose returns on specific projects. In creating our internal returns, we approach our renovation investment dollars on a site-by-site basis. Each project has a unique set of circumstances, which include a full analysis of the competitive theater factors. 
 With that said, 2019 did mark the first full calendar year of operation of our Reading Cinemas at Cal Oaks in Murrieta, California following the full implementation of its top-to-bottom renovation. Today, 17 screens feature recliner seating, we have 2 TITAN LUXE screens, a full F&B menu and a Spotlight in-theater dining service. We've been exceedingly pleased with the return on investment in this theater to date. Post renovation, this theater continued to set records for itself in 2019: highest F&B revenues, highest SPP and highest theater level cash flow. 
 As I said, though we don't disclose specific returns, I will point out that the theater level cash flow of this data in 2019 was 54.2% higher than the theater level cash flow set in 2015. 
Andrzej Matyczynski: Thanks, Ellen. And for the last question, Gilbert, perhaps you can handle this. Given the current state of the business, can you talk about Reading's credit facilities? 
Gilbert Avanes: Sure. We secured 2 major loans amidst a volatile time in the stock market, which further demonstrates our institutional lenders' continuing confidence in our long-term business plan. On March 6, 2020, we extended both our $55 million credit facility with Bank of America and Bank of Hawaii and our $5 million line with Bank of America to March 6, 2023. On March 13, 2020, we refinanced our credit facility with Valley National Bank, increasing the loan amount from $20 million to $25 million and extending the maturity date to April 1, 2022, with 2 6-month options to extend through April 1, 2023. On January 24, 2020, we exercised the first of our 2 extension options on the Bank of Ozarks $50 million loan relating to our Union Square construction financing. The new maturity is now December 29, 2020. As of December 28, 2019, we have paid in full the Bank of America digital projector loan. 
 Especially with the uncertainty in the market and the temporary closure of our U.S. theaters due to COVID-19, we constantly monitor our financial position and cash management. We are currently in contact with our banks regarding our loans and the related covenant testing. We feel strongly that this current situation we are all in is temporary and remain optimistic and committed to the long-term opportunities in the cinema business and in our diverse real estate portfolio. 
Andrzej Matyczynski: Thank you, Gilbert. Well, that marks the conclusion of the call. We appreciate all of you listening to the call today, as usual. Thank you for your attention, and we wish everyone good health and safety during this uncertain and difficult time.